Operator: Good day, ladies and gentlemen, and welcome to the Compañía de Minas Buenaventura First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please note that this call is being recorded. I would now like to introduce your host for today's call, Mr. Rodrigo Echecopar, Investor Relations. Mr. Echecopar, you may begin.
Rodrigo Echecopar: Good morning and welcome everyone. Presenting on the call today is Mr. Victor Gobitz, CEO. Also present and available for your questions are Mr. Leandro Garcia, Vice President and CFO; Mr. Juan Carlos Ortiz, Vice President of Operations; Raúl Benavides, Vice President of Business Development; and Alejandro Hermoza Vice President of Sustainability. Before we get started, during today’s call we will make forward-looking statements that reflect the company's current expectations about future plans and performance. These statements rely on assumptions and estimates, and actual results may differ materially due to risk and uncertainties. I encourage you to read the full disclosure concerning forward-looking statements which is in the press release we filed on April 30, 2019. With that, I will now turn the call over to Mr. Victor Gobitz, CEO. Victor, please go ahead.
Victor Gobitz: Thank you, Rodrigo. Good morning to all and thank you for attending this conference call. We are pleased to present our results of our first quarter of 2019 from Compañía de Minas Buenaventura. We have prepared a short PowerPoint presentation which is available in our web page. Before going any further, please take a moment to review the cautionary statement shown here on Slide 2. Moving on to slide 3, highlights were as followed. During this first quarter, Buenaventura generated additional EBITDA of $8 million due to continuous success of the company's De-Bottlenecking Program. In this first quarter EBITDA from direct operation was $24.7 million, compared to $99.1 million reported a year ago, primarily due to lower metal prices and a reduction in volumes sold at company's Orcopampa, Tambomayo and Uchucchacua mines. In this first quarter, adjusted EBITDA including associated companies reached $155.2 million compared to $175.2 million a year ago. The net income in this first quarter was $27.3 million compared to a net income of $28.4 million for a same period in 2018. In this first quarter, CapEx was $8.5 million compared to $21.2 million in the same period in 2018. At Cerro Verde, a dividend of $150 million at 100% basis which means $29.4 million attributable to Buenaventura. This amount was paid in April 30th of this year. And at our Yanacocha Sulfides project, the Environmental Impact Assessment study was approved in March 2019. Moving on to slide 4, we are showing our strategic map where we use our usual the capital B from the logo Buenaventura as visual index for the following slides. In the coming slides, we are going to discuss the financial results of the company. Moving on to slide 5, financial highlights. Total revenues during the first quarter were $186.2 million, which is 41% lower in comparison to the first quarter in 2018. EBITDA from our direct operations in first quarter of 2019 was $24.7 million which is 71% lower in comparison to the same quarter last year, mainly due to the lower volumes solid originated by the suspension of operations at Orcopampa in January and the workers' union strike in Uchucchacua which lasted 21 days. And also the heavy rainy season in El Brocal and Uchucchacua located in the central part of Peru. EBITDA including our affiliate in this quarter was $155.2 million which is 11% lower in comparison to the first quarter of 2018. And our net profit in the first quarter of this year was $27.3 million, compared to our net profit of $28.4 million a year ago. Our CapEx are continue increasing having value of $8.5 million in the first quarter of 2019, compared to $21.2 million a year ago. Our cash position at the end of the first quarter of 2019 decreased by $38.2 million. Moving on to slide 6, and again you can see the capital B as a visual index for analyzing the results of our portfolio of operations. Moving on to slide 7 and 8, attributable to our production. Total gold attributable production for the first quarter of 2019 was 113,000 ounces which is 22% lower than the figure reported in the same quarter last year. These reductions are mainly explained by lower production coming from Orcopampa, which suspended operations in the first month of the quarter. These results were offset by an increase of Yanacocha's gold product. Silver attributable of production for this quarter was 4 million ounces which shows a decrease of 25% compared to the figure reported in the first quarter of 2018. This is mainly explained by lower production in Uchucchacua as a result of workers' union strike at the beginning of January and a heavy rainy season. In this first quarter of the year, 12.8000 metric tons of zinc were produced, 22% lower in comparison to the first quarter of 2018. And this decrease was mainly due to the lower production at Uchucchacua mine. In the case of lead, equity production was 8.2000 metric tons which is in line comparison to the first quarter of 2018. Finally, our copper attributable production for the first quarter of the year was 28.7000 metric ton, 2% increase comparing to the same order in 2018. Moving on to slide 9 and 10, as you can see the consolidated volumes sold from the our direct operation decrease in the case of gold mainly due to lower volume sold from Orcopampa and La Zanja. In the case of silver for the first quarter of 2019, we sold 3.5 million ounces, a 41% decrease as a result of lower volumes sold at Uchucchacua. In the case of zinc, the 18% decrease comparing to a first quarter of 2018 is explained by lower volumes solid at Uchucchacua and El Brocal. In the case of lead, our volumes sold increased 19% during the first quarter of 2019 compared to the same quarter a year ago, is explained by higher volume sold at Tambomayo and El Brocal. Finally, in the case of copper, a 16% decrease is explained by less volume sold at El Brocal. Moving on to Slide 11, the all-in sustaining cost from our direct operations in the first quarter, the current year increase to US$1,682 per ounce of gold, 82% higher in comparison to the same period a year ago, mainly explained by lower volume sold in our gold operation. The costs applicable to sales in the first quarter of 2019 were as follows. For gold, US$1,049 per ounce which is 33% higher than a year ago. For silver, US$12.01 per ounce which is 23% higher than a year ago. For lead, US$1,328 per metric ton which is 12% lower than a year ago. For copper, US$1.37 per pounce which is 12% lower in comparison to a year ago. Finally, in the case of zinc, the cost applicable to sales was US$2,171 per metric ton which is 12% higher than a year ago. Moving on to slide 12 and 13, you can see the volume of gold sold and the cost applicable to sales for each one of our products. Moving on to slide 14, you can see the volume of silver as well as the cost applicable to sales for each one of the assets part of our portfolio. Moving on to slide 15, you can see the volume of copper and zinc sold as well as the cost applicable to sales for each one of the asset part of our portfolio. Moving on to slide 16, the De-bottlenecking program which we are implementing in our biggest underground mine is progressing well. And you can see the comparison between the actual results and the guidance we presented on the pass call in February of the present year. In this first quarter, we generated $8 million coming from this program. The distribution of this $8 million is as follows. Tambomayo, $2.4 million; Orcopampa, $2.4 million; Uchucchacua, $2.6 million; El Brocal, $0.6 million. Moving on to slide 17, once again you can see our capital B from our logo used for analyzing in more detail the updated information regarding our portfolio of projects. Moving on to slide 18, here we are presenting in one snapshot the current development level for each one of our projects. Moving on to slide 19, 20, 21 and 22, here it is important to highlight the following aspects. In the case of San Gabriel, the geomechanical model was already optimized, the chosen mining method as base case is overhand cut and fill, but we are currently working on the optimization of this mining method, long hole stopes plus rock fill cement. We expect to reach the pre-feasibility stage in the first quarter of this year and feasibility stage during 2020. San Gabriel, as a summary is an ore deposit with more than million ounces of gold and this business case is based on an underground mine and a processing plant. We have a total capacity of 3,000 metric tons per day. We intend to produce in the range of 120,000 to 150,000 ounces of gold per year. Trapiche, in the case of Trapiche, we are currently working with our consultant company, M3, to declare reserves in the first quarter of 2020. We are doing trade-off studies regarding process, geometallurgic, geomechanics aspects. In addition, we are drilling starting a second drilling campaign in May and we expect to reach reversibility stage in the third quarter of 2020. Trapiche, also as a summary, is an ore deposit with more than 3 million tons of copper and its business case is based on an open pit for starting the secondary sulfide production of the ore deposit. Plus a processing facility to produce copper cathode. We intend to produce annually in the range of 50,000 to 70,000 metric tons of copper. In the case of Rio Seco, Rio Seco is a chemical plant with the objective to unlock value for our copper portfolio. We are testing on small industrial level the technological route. The Environmental Impact Assessment is in process. We intend to obtain achieve reversibility stage in the second quarter of 2020. The chemical plant will treat copper concentrate coming from Marcapunta mine. Its business case involved heap-bleaching process at atmospheric pressure to dissolve copper and produce copper cathode through classic technology SX/EW and to fix arsenic content scorodite. And finally, Tantahuatay's sulfides, which is part of Coimolache. Tantahuatay sulfides is an ore deposit with more than 3.7 million tons of copper and its business case at stage one is based on an open pit mine and a processing plant with a total capacity of 20,000 metric tons per day using the current footprint. The scoping study was already finished. In this case, Tantahuatay sulfide, we expect to reach the prefeasibility stage in the 12th quarter of 2020. Moving on to slide 23. Thank you for your attention. I will turn the call back to the operator to open the line for questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from the line of Carlos De Alba with Morgan Stanley. Please state your question.
CarlosDeAlba: Yes. Good morning, everyone. So the first question is on Orcopampa and Uchucchacua. How is the ramp up in the gold mine moving along in the second quarter after you have seen what happening in April? And then in Uchucchacua, is the production fully or the production rate fully recovered after the strike that we saw in the first quarter. The second question is on working capital. It came a little bit as a surprise I think surprise versus our expectation. The moves in receivable and payables in particular. What is the evolution of working capital throughout the year that you guys are expecting? And then finally, what is the situation if you could remind us with the Cerro Verde discussions around the dividend policy? Were you able to address sort of the objectives that minority shareholders may have in the shareholders meeting? And then what is your expectations going forward? Thank you.
VictorGobitz: Thank you, Carlos. You have three different questions. The first one is related to operations. The second one regarding our financial figures and the third one regarding Cerro Verde. The first part, Carlos, Ortiz, our COO will be -- to answer his part.
JuanCarlosOrtiz: Carlos, hi. Thank you for your question. Regarding Orcopampa, we recovered production after one month of suspended activities only with exploration and current maintenance in the underground mine. And we keep running our exploration program along the first quarter. We're going to say that we are not having expected the result so far with exploration. So we keep right now linked with our guidance for 2019. We will see further results of exploration in the next quarter for the underground mine. From the surface program, surface exploration program, we are having some delays with the permits and probably we will need to postpone that exploration program to the next year due to their restriction for the --with the permit. From the Uchucchacua mine, we will resume fully operation after the strike in February. We were ramping a production quickly and we are running at full production right now.
VictorGobitz: So, Carlos, but just to summarize the concept, we are very confident to achieve our annual guidance in terms of profitability and specifically in the case of Uchucchacua, we will reduce the silver production but keep going with the same number in terms of profitability. We have many rooms to improve in this mine. Your second question was regarding the working capital. Here, Leandro Garcia, our CFO will answer it.
LeandroGarcia: Hi, Carlos. Good morning. And regarding our working capital, yes, well, this is -- this was budgeted is in line with our beginning year calculations and this is a period that we have scheduled payments, amortization but we are planning and we are sure that the level of working capital we will recover in the third quarter.
CarlosDeAlba: And, Leandro, the guidance for free cash flow for the year still stand?
LeandroGarcia: Yes. At the end of the year, right?
CarlosDeAlba: Yes. For a full year.
LeandroGarcia: Yes.
VictorGobitz: Thanks, Carlos. Your third question was regarding Cerro Verde. We recently held our board meeting during Cisco event in Chile, and we as part of the agenda, we discussed this policy dividend, and we unanimously agreed to postpone this discussion to 2020 because during this year 2019 we expect to sort as -- Cerro Verde level. This tax dispute with the authority. And right now Cerro Verde has very strong cash position and the reason is that one option is to full pay this liability with the authority here in Peru.
Operator: Our next question comes from Tanya Jakusconek with Scotiabank. Please state your question.
TanyaJakusconek: Hi, yes. Good morning, everybody. Thank you for taking my questions. Coming to Yanacocha, now that we have Quecher Main coming in, what do we look like in terms of dividends coming out of Yanacocha this year now we've set the capital to build it?
VictorGobitz: Hey, good morning, Tania. Thank you for a question. Here is Raúl Benavides; I am going to handle the call to him.
RaúlBenavides: Good morning, Tania. Well, there is no discussion about dividends because we have the sulfide project for the future so we're keeping cash in order to build that project. The first price of the project by Newmont is to build an ore phase in an investment of $2.1 billion in total. And that's what Newmont publicly state as well.
TanyaJakusconek: Okay. So we're just keeping the money in there for the sulfides. Also, maybe if I can ask another 2 questions. CapEx and exploration, they were so much lower than normal in Q1. Are we expecting them to increase over the remainder of the year? Has there been any change to your CapEx or exploration guidance?
LeandroGarcia: Thank you Tanya for your question. Yes, clearly the first quarter of this year was affected by the heavy rainy season. In many areas we postponed this exploration drilling program, but definitely in the following quarter we expect to increase this number and to reach our budgeted number.
TanyaJakusconek: In addition to the CapEx, sustaining CapEx? That was also lower. In addition to the CapEx sustaining CapEx that was also lower
LeandroGarcia: No. We maintain our guidance. Let me see the number. It's $80 million to $120 million.
TanyaJakusconek: Yes. You only spend the $8 million this quarter. So I'm just wondering if that still stands.
VictorGobitz: Yes. It stands.
TanyaJakusconek: Okay. And then my last question has to do with Tambomayo. Unit costs were well above the guidance for the year in Q1. Can you tell us why? And is this related to the processing changes that you've done? Why the cost high there?
VictorGobitz: Thank you for your question, Tanya. That related to the de-bottlenecking program and Juan Carlos Ortiz, our COO will answer it.
JuanCarlosOrtiz: Tanya, the operation in Tambomayo run very smoothly, but due to the change in the process we have a lot of inventory at the end of the quarter. Basically, we were reaching the high gold content lead concentrates and we have a lot of gold inventory in the process. So we have that production coming out in April and May and we will balance our average OpEx back into line.
TanyaJakusconek: So you took the -- all of the costs for the inventory in Q1, and then you didn't get the revenue until Q2. Is that correct?
JuanCarlosOrtiz: Exactly, exactly. The chunk of the gold are being are carried to this quarter.
TanyaJakusconek: Okay. And does that -- so are cost guidance for the year is still intact?
JuanCarlosOrtiz: Yes. End of Q&A
Operator: Since there are no further questions up in the queue. This concludes our question-and-answer session. And now I would like to turn the conference back over to Mr. Victor Gobitz for closing remarks.
Victor Gobitz: Okay. Thank you everyone for joining our conference call this morning. At our Buenaventura team, we are committed to developing the full potential of our existing assets through our de-bottlenecking program, prioritizing the long-term perspective in order to become a more predictable company in terms of production and profitability. Furthermore, we are implementing a disciplined process for value generations through enhanced methodology in orrder to optimize our capital allocation. Before we finish this call, I would like to let you know that I am attending the Bank of America Global Metals and Mining and Steel Conference from Tuesday 14th to Wednesday 15th in Barcelona. Spain. Thank you again and have a wonderful day.
Operator: This concludes today's teleconference. You may now disconnect your line at this time. Thank you for your participation.